Operator: Good day, ladies and gentlemen, and welcome to the Badger Meter Q4 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference Mr. Rick Johnson, Senior Vice President of Finance and Chief Financial Officer. Sir, you may begin.
Rick Johnson: Thank you very much, Giselle [ph]. Good morning, everyone. Welcome to Badger Meter's fourth quarter conference call. I want to thank all of you for joining us. As usual, I will begin by stating that we will make a number of forward-looking statements on our call today. Certain statements contained in this presentation, as well as other information provided from time-to-time by the company or its employees may contain forward-looking statements that involve risk and uncertainties that could cause actual results to differ materially from those in these forward-looking statements. Please see yesterday's earnings release for a list of words or expressions that identify such statements and the associated risk factors. Let me reiterate some of our guidelines. For competitive reasons, we do not comment on specific individual product line profitability other than in general terms, nor do we disclose components of cost of sales, for example, copper. More importantly, we continue our practice of not providing specific guidance on future earnings. We believe specific guidance does not serve the long-term interest of our shareholders. Now onto the results. Yesterday after the market closed, we released our fourth quarter and year end 2016 results. I will comment on the fourth quarter results in a moment. I wanted to know that our sales, earnings and earnings per share for the full year 2016 were all records for the company, despite finishing the year with a slightly weaker fourth quarter than we anticipated. Fourth quarter sales were $93.1 million, a $2.7 million decrease from $95.8 million in the fourth quarter of last year. We saw sales declines for both our municipal water products and flow instrumentation products. Municipal water products net sales represented 78% of sales for the most recent quarter compared to 77% in the fourth quarter last year. These sales declined nearly $1.1 million or 1.5% from the fourth quarter last year. Included in last year’s fourth quarter was approximately $1.7 million of sales for the Middle East that did not occur this year. In addition, sales into Latin America, primarily Mexico were down over $1 million in this year’s fourth quarter. Therefore the decline in municipal waters due primarily to lower foreign sales which tend to be sporadic. Residential and commercial water grew on a domestic basis which is our primary market. Domestic residential sales grew 4% quarter-over-quarter while domestic commercial sales grew 15.1%. Flow instrumentation products represented 22% of our fourth quarter net sales versus 23% last year. These sales declined $1.6 million to 7.2%. For this category the message is the same one that we have been saying all year. The weakness that affected oil and gas markets continues as well as general economic softness in the other markets we serve. Gross profit margins for the quarter was 36% the same as last year, higher [Indiscernible] cost in the quarter and the impact of foreign exchange were offset by lower warranty in obsolescence charges. Selling, engineering and administration expenses decreased 2.1% as we are now seeing the impacts of the flow instrumentation staff reductions we made in the summer. We also saw reductions in sales promotions from last year when we were introducing new products. These reductions were somewhat offset by higher bonuses and employee incentives. We should also note that our expenses included approximately $770,000 or nearly $0.02 per share of a pre-tax non-cash pension settlement charge. This amount was similar to what was incurred in the fourth quarter last year. Because of all this, earnings before income taxes declined approximately $350,000 or 3.8%. For income tax expense, the provision for income taxes as a percentage of earnings before taxes was 31.2% as compared to 40.6% in the fourth quarter of 2015. We have been using a slightly higher estimate for most of the year and as we’ve explained before there are a variety of assumptions made to arrive at the interim estimate. As it turned out, we estimated state taxes at a higher rate at -- than actually occurred, and as in the past we adjusted the estimate in the fourth quarter. The percentage difference in the fourth quarter is usually magnified by lower earnings in the quarter. As a result, our income tax expense was less in the fourth quarter of last year, which resulted in net earnings actually increasing by approximately $630,000 or 11.5%. Net earnings then for the quarter was $6.1 million versus $5.5 million for the same period last year. On a diluted earnings per share basis this was $0.21 versus $0.19 last year. Let me recap the year as a whole. We saw sales increase over 4% to a record $393.8 million. This was due to strong domestic sales in a municipal water area offset somewhat by lower sales over flow instrumentation products. Our gross margin as a percent of sales for the year was 38.2% versus 35.9% in 2015. The higher volumes and their impact on capacity utilization and product mix as well as lower cost for the year as a whole, all contributed to the higher gross margin. Selling, marketing and engineering expenses were higher for the year due to higher employee incentive cost higher amortization charges and higher professional fees. Also included in the year was approximately $1.5 million of pre-tax non-cash pension settlement charges, were more than 40.03 per share compared to only $800,000 in 2015. For the year, net earnings were $32.3 million, nearly 25% increase over the $25.9 million made in 2015. On a diluted earnings per share basis, earnings were $1.11 compared to $0.90 in 2015. Our balance sheet remains solid, we generated over $55 million of cash from operations which was a record for us. We increased dividends for the 24th consecutive year in 2016 and managed to reduce that by over $33 million. With that bit of background, I will now turn the call over the Rich Meeusen Badger Meter’s Chairman, President and CEO who will have some additional comments. Rich?
Rich Meeusen: Thanks Rick, and thank all of you for joining us today. We were obviously very pleased with the 2016 as we achieved record sales, operating income, net income and earnings per share. But this you should also be viewed in context with our long term financial success. Over the past five years, we’ve seen an average compound annual growth rate in sales of 8.4%, net income of 11% and EBITDA up 14.5%. This is especially impressive considering the pressures on our flow instrumentation business during this period with the drop in oil prices and considering the relatively slow growth in the overall economy over the past five years. We have been able to overcome these challenges by not only offering our customers innovative flow technology, but also through strong internal cost controls. As we look ahead at 2017 and beyond, we see both challenges and opportunities. We are optimistic about the possibility of stronger economic growth in our North American markets, as well as a possible rebound in our flow meter sales to the energy sector as oil prices recover and government regulations permit more energy production activity. We continue to see opportunities in the Middle East for ultrasonic water meters, and of course we expect to see continued North American growth in our newest water metering products, our E-series Ultrasonic meters, ORION cellular radios in our BEACON analytics software. In addition to these opportunities, 2017 will also have some challenges we buy significant amounts of breasted your form your bodies in 2016 copper which is a major component of breast average about $2.20 per pound over the fourth quarter of last year copper prices jumped over to 260 per pound and remained in that range to date. This will put pressure on manufacturing costs if the price remains high throughout 2017. However, since this also affects our competitors, we could see upwards pricing movement in our industry during 2017 to offset this impact. Another major issue relates the possible government action on imports. At this time there is no clarity on what is being proposed or any possible impact from future tariff changes. Therefore it would be premature for us to speculate on such impacts. Let me assure you that we are watching this issue very closely and we will respond accordingly when actual decisions are made by the government. That said, I do think it would be helpful for us to outline Badger Meter’s current operations to help our shareholders better understand the potential for the tariff situation. Like most companies with international operations, Badger Meter imports various components into the United States, and exports some of our products out of the United States. We have operations in the United States as well as Mexico and Europe. Meters manufactured in the United States are exported globally and a small number of meters manufactured in our European facilities are imported and sold into the U.S. markets. One of our largest facilities is in Nogales, Mexico. We’ve operated there for over 40 years on a tariff free basis, initially under the [Indiscernible] rules and later under the NAFTA rules. We shipped meter castings and molded plastic components from the U.S. to our Nogales facility on a regular basis. We also import radio boards and other components from Europe and Asia directly to our Nogales facility. The meters and radios are assembled and tested Nogales and then returned to the U.S. for shipping to our customers. Based on the logistics, potential tariffs of Mexican imports could have an impact on Badger Meter, as could potential changes to NAFTA and the original [Indiscernible] rules. However, the actual amount of such impacts would depend on the treatment of not only meter imports from Mexico, but also the related exports of the meter components to Mexico. Badger Meter also has the capacity and capability to move some portion of manufacturing back into the U.S. facilities if financially justified by any such tariffs. Further, most of our competitors in the U.S. market import components or entire meters from Mexico and other countries could also be affected by any possible tariffs. It should be noted that in addition to the tariff discussions, there are discussions around possible reductions in the U.S. corporate tax rate and the regulatory burdens which could have a very favorable impact on Badger Meter. So with those comments, we’d be happy to take your questions.
Operator: [Operator Instructions]. And our first question comes from Richard Eastman from Robert Baird. Your line is open.
Richard Eastman: Yes, good morning. Rich and Rick.
Rich Meeusen: Good morning, Rich.
Richard Eastman: Just a quick question around some of the new products, you know within the municipal market place and just maybe traction around continued growth on the E-Meter side, is this some of the new products and then also are you getting any traction with this E-Meter with the integrated shut off valve, that you introduced back in the middle of the year?
Rich Meeusen: Yeah, so let me try to address a couple of those comments. We saw E-series growth in revenue of over 20% from last year, from 2015 to 2016, and we are continuing to see that kind of strength in the market. So the E-series, which now does represent about 20% of our total meters sales is growing very well. On the ORION cellular, which is our other flagship product, again we saw growth there of well over 20%, so it was pretty comparable and amazingly that also represents about 20% of our radio. So I know I’m giving you a lot of 20 percentages but that’s basically what it is.
Richard Eastman: Okay.
Rich Meeusen: So we are -- and frankly I think with the E-series and the cellular representing about 20% of the meters and the radios respectably, we think there is a lot of roadmap to go there. In other words, could it reach 50% in a few years? Yes, it probably could. We are very optimistic about seeing it do that. So we think we are going to continue to see strength there. Customers are more and more accepting these newer technologies and especially as they have been in the field longer, they are more comfortable with them, so that’s the positive story there. On the integrated shut off valve, we’ve seen some sales but not a very high volume. I’m looking over at our VP of sales and marketing Kim Stoll here.
Richard Eastman: Okay.
Rich Meeusen: So the volumes are not big yet Rick, but it’s just been introduced a lot of customers are taking just a few and putting it on test to see how they work. Also, we have, we have them integrated with some of our earlier versions of software, but as everybody knows, we and everybody else in the market are working on the development of an LTE version of our cellular product. And that should be released sometime this year. And when that gets released we will also have those controls integrated into that product, the ability to turn off the valve print on the valve see the status of the valve. One of the things that makes our valve unique compared to other people’s valves is that is that we can do a partial shutoff. There are other valves that are being introduced where the choice is to shut off the water completely or turn on the water completely. With Badgers technology, we the customer can choose are to be with 10% open, 20% open, which would just leave a trickle of water enough to flush a toilet, but only once every few hours so it would it would be, it would be something that would encourage a customer to consider paying the bill. And so that’s interesting. One of the thing I’m going to comment on Rick, that you didn’t ask about but I had a feeling might be coming. There was some legal action around this product, and a lot of people thought that one of the competitors had sued Badger for patent infringement. The fact of the matter is Badger is the one that holds the patent, what the customers did was they brought a legal action to try to get our patent invalidated. We’ve since reached a settlement where they have withdrawn that legal action, and they’ve agreed to compensate us for use of the patent, so that that is no longer an issue. And there was a lot of confusion over that because the headlight simply said Badger was being sued, while and the people thought that the competitor held the patent but in reality Badger held the patent.
Richard Eastman: Okay. And then Rich, just to kind of dovetail into BEACON and can I ask is that you know what the book-to-bill there was, are the orders still exceeding the sales and how was the, that integration IT bottleneck, how would you describe that currently or maybe at the end of the year here?
Rich Meeusen: That’s a good question Rick. [Indiscernible] I had a feeling somebody would bring that up, because we did talk about that last time. And interestingly, the last time we had a backlog of about 160 customers or so and it was a problem. This we are now three months probably down the road. We are through the additional resources, we have addressed it, we now have a back, we still have a backlog of 160, which is interesting, but we are clearing at a rate that, that backlog only represents about three months. And, and that’s not an unusual amount. So basically we caught up on all the customers who were let’s say past due or who wanted to adopt the BEACON system, but had not been able to work with their billing providers to get us the information necessary to make the system work. And so we had a big backlog with those billing providers. We’ve cleared that, we’ve cleared the whole backlog, we are shipping to those customers and we’ve had new customers come in requesting it, but I consider the current backlog to be the 160 backlog we have now to be very current and we are addressing it very promptly. We are getting much better responsiveness from the billing vendors to get the customers onto this system, so that’s a good thing.
Richard Eastman: I understand. Let me, just one more and then I’ll step aside. How would you kind of access and as we move into 2017 here, you know some f the bigger meter opportunities that are out there, I think you know we noticed I think yesterday afternoon that Itron won the automation piece of SARS [ph] and I would hope maybe that we got some meter and some cellular content there. But how do you look at the bigger project flow here as we move into 2017, any movement better or worse here in 2017?
Rich Meeusen: There are some large opportunities out there in 2017 that were not there in 2016 particularly on SARS [ph] had – which is –I’m sorry SARS is San Antonio water. And San Antonio has been a Badger customer for years on meters. We continue to sell the meters and we think we’ll continue to sell them years in the future. We know they are constantly trying different technologies and so they may have chosen, I try and [Indiscernible] in the city and that’s fine, but I’m pretty confident we’ll continue to have them as a meter customer. Obviously we know that the Dade [ph] County water has been talked about for years as at some point doing something. They had a RF request for information on the street, that we responded to and there are a few other large ones that are out there this year. So there are some big ones that are coming up in 2017 that we didn’t see in 2016 which does represent more opportunity for us. I wouldn’t be surprised to see one or two of those break in 2017.
Rick Johnson: But for the benefit of everybody else, a big customer and water generally gets spread out over three sometimes even five years if not the same impact it would have for instance, if were selling electric meters, where you have to have the elephants, so I think that’s an important distinction.
Richard Eastman: Okay, excellent. All right, thank you. I’ll step aside here. Thank you.
Operator: Thank you. Our next question comes from Chip Moore from Canaccord. Your line is open.
Chip Moore: Morning, hey Rich and Rick, thanks. Maybe you can talk more broadly on competitive dynamics now with one of your competitors obviously under new ownership and some rumours of other business potentially being up for sale, have you seen any changes and then as it gets to the commodity headwind, how do you see that impacting any price increases?
Rich Meeusen: Yeah, so the two big ones that have happened most recently were that Honeywell brought Elster and so Elster water which is part of the larger Elster organization is now under, is now in the hands of Honeywell. And then most recently, Xylem which for those of you who don’t know Xylem was the water spinoff all ITT. Xylem purchased Sensus, one of our other competitors from the Jordan Company. In neither case, did those acquisitions come with in my opinion major synergies. And what I mean by that, is this was not like two water meter companies merging together where they could combine sales channels, they could combine manufacturing facilities, they could combine R&D. So in both cases, it was a change in ownership to somebody else who was very interested getting in the water space, and I understand why it’s a good space. Now let’s look at each of those. In the case of Elster, Elster had previously pretty much pulled out of the North American market for water, when it was owned by Melrose. And so, Honeywell does not really have North American water presence for Elster, and we have not seen them upping their presence since that acquisition. Elster’s water is primarily European and other areas of the world they just haven’t been in North America. On the Sensus side, we haven’t seen anything change there, and I think it’s still pretty new, I think Xylem is trying to figure out....
Rick Johnson: The deal disclosed in November
Rich Meeusen: Yeah, Rick said the deal – he thinks the deal just closed in November. So I think they are still trying to figure out what they’ve got and how they might integrate things and organize things, but Sensus remains a very strong competitor and a very strong company, and it will be interesting to see what they can do. But also when Xylem bought Sensus, they had projected some pretty significant cost savings from the integration from synergies. So it’s going to be interesting as to where they try to get those cost savings and what they try to cut to achieve that, so we will be watching that real closely.
Chip Moore: Okay, that’s helpful. And then I guess on the flow instrumentation side when you talk about maybe seen some signs of recovery, is that anything you’ve seen so far in 2017 or is that more broad or new administration, what’s the thinking?
Rich Meeusen: Yeah, I think that’s a little bit broader. We are still, this thing is still near the bottom and especially our oil and gas business which used to be about $12 million business and now it’s down to less than 5, it’s down around 4. So you know we are looking more at what could happen with the administration as they open up more drilling, more fracking, more opportunities for energy production and a lot of our meters and products are used in those operations.
Chip Moore: Okay. And then just lastly if I can on M&A, maybe you can update on the pipeline and if you’ve seen any changes and what you are going after? Thanks.
Rich Meeusen: Yeah, we put a lot of our M&A activity last year on hold for the better part of the year while we were going through that review of strategic options that we’ve talked so much about. We’ve since reinvigorated that, we do have two of our distributors that we are in conversations with, and we hope to close this year if all goes well. So we are working on that. And we have some other acquisition opportunities that we’re also currently pursuing, that we hope to be able to make announcing on in the coming quarters.
Chip Moore: All right. Thanks.
Operator: Thank you. Our next question comes from Ryan Connors from Boenning & Scattergood. Your line is open.
Ryan Connors: Hi, good morning, gentlemen.
Rich Meeusen: Good morning, Ryan.
Ryan Connors: I had a question regarding the bigger picture and then kind of go back to the Rich question about which causes the large projects outlook. I remember back when the last big federal stimulus package happen, you all talked a lot about how that actually ironically created some projects delays leading up to an on initial implementation of that, I guess because folks were waiting around to see whether they might be able to fund things cheaper get access to some of that funding. There’s been some talk about that maybe been the case today with the potential for big infrastructure plan. Can you give us your perspective on whether you're seeing any that already or whether we will see any of that?
Rick Johnson: This is Rick. First of all, I don't think we’ve seen any yet because honestly no one has any idea what the actual plans are. What Ryan is referring to is back in the first quarter I believe of 2009 after Obama took office, there was an infrastructure for a big bill on the stimulus and I believe $6 billion was allocated for water of which 4 billion was wastewater which is not a market we are big in, but 2 billion was just for freshwater, but the problem is it took him six months to write the rules. And in those six months we saw people just waiting to – on a $2 million order if they were going to get a $200,000 credit on that they waited to place the order. I think that risk exists Ryan, but to be honest with you, I think there is so many other bills ahead of an infrastructure bill of this time. I’m not sure its going to have a profound impact on us in the near term, because there is just nothing out there to point a finger at right now. The other question Ryan is if they do an infrastructure bill, how much ends up affecting water and wastewater. There is -- obviously it is a huge focus on roads and highways which is the visible and infrastructure, the invisible infrastructure tends to get ignored. I am you know I'm actually hopeful that money will be allocated to water and wastewater because our infrastructure is in such bad shape in the United States and that would overall be good for the country. The question is will it how much and will it reach all the way down to the municipal level.
Rich Meeusen: Well, and in fact back in 2009 when they said 2 billion for freshwater they were very vague about what that meant. And in the end while there was some money that actually went to metering not a lot, okay. Most of that went to mains and services where the money is really needed. The truth of the matter is the meters are the cash register. They’re going to always find the money to pay for those over time and they've done that time and time again, but with we still have 100 years old pipes in the ground that need to be replacing. So, it depends again, the devil will be in the details if and when we ever see something.
Ryan Connors: Got it. Okay. I also had a question regarding margins and the impact of copper and just from a big picture standpoint, it feels like over the last number of years margins of kind of step changed higher to a new baseline level and I assume part of that is because your mix has shifted to more of the AMI, AMR over and less if you are traditional manual read meters. So, as we think about the potential impact of a higher raw material cost environment is there in fact a new hire band within which will fluctuate now and/or do you think we could actually revisit some of the low points you hit may be seven, eight years ago?
Rich Meeusen: No. Ryan, you know, the copper, copper moving from $2.20 up to $2.60 could have a short term -- could have an impact on our margins of less than a 100 basis points. So yes there is some impact from copper if we aren’t able to offset that with pricing which we’ve been able to do in the past. The more significant thing is that as our market has shifted to that 20% of the newer products the E-series and the cellular those tend to carry a stronger margin and so that's really what's been driving it. And so I do think we’re kind of added new norm, it's moved up. Also bear in mind that we've had a headwind against the margin percent because flow instrumentation always had a higher margin, and so as we see flow instrumentation go down, that’s created downward pressure. So flow instrumentation comes back to a normal level that will also help us. And then the other thing to bear in mind is as we buy our distribution that contributes to margin. And that is not an insignificant contribution to margin presents too. And that those are all permanent increases. So, I think it is fair to say that there is a new normal on margin and I do not expect that we would see some of the lower margin that we had seen in the past.
Ryan Connors: Okay. That’s good news. And then the other one was that that from me was just, you talked a little bit there about buying more distribution that being part of M&A pipeline, can you update us on I know that there has been some of the big national distributors notably Ferguson who had come and been in buying distribution for some your competitors and so forth and there was some elements of what you're doing was offense, but some of it was actually defensive in nature as well. I wanted to keep your distribution maybe you have that kind of a system. So just give us something that they still active or is there still rollup going on more broadly speaking in metering distribution or not?
Rich Meeusen: We have seen Ferguson in particular West in California. They acquired distributor out there, one of our competitors. And so they have been active out there. We have not seen them that active across the nation. It's really been more localized. And as we haven't -- and frankly post Ferguson we have not seen a big change in how that former distributor that distributor that was formally independent. We haven't seen a big change in how their operating. So I don't think Ferguson has had the impact on our channels that at first we thought they might try to have. So that's good. On the pipeline, the additional ones we’re looking at, bear in mind these are acquisitions that would be in the $10 million range, okay or even below. These are not real large acquisitions. But again we just think that we think it makes sense to move to a model where we have better control over our distribution and we can assure a more consistent level of service to our customers as we moved to these new technology products which do require more support.
Ryan Connors: Got it. Well, thanks for your time.
Operator: Thank you. Our next question comes from Hasan Doza from Water Asset Management. Your line is open.
Hasan Doza: Hi. Good morning, gentlemen. On your follow up on your Mexico manufacturing footprint, just wanted to understand this dynamic a little better. The first question I have a how much of your municipal water meters are made today -- are manufactured today in the Nogales facility Mexico?
Rich Meeusen: Right now, Hasan, all of our large meters are still produced in Milwaukee, okay. And we do in the United States all of the casting and much of the precision plastic molding is all done in the United States and the components are sent across the border into Nogales for the final assembly and test. We also do -- we do some plastic molding in Mexico of the components for the mechanical registers, the gears and things, so we do some of that. And we also do some molding of our plastic water meters of our polymer water meters, so basically pretty much all of the residential meters are touched by the Nogales facility and the commercial art.
Rick Johnson: It's more of an assembly operation on there, because when you say manufactured, many of the parts are manufactured here sent down there to be assembled.
Hasan Doza: Right. So it’s that final assembly and test that is being done down there for all of the residential product. In the past I'll remind you that when the government did to the stimulus program they had a buy America clause in there that water utilities that were using stimulus money to buy water meters had to have those meters assembled and tested in the United States. We had plenty of floor space here. We simply moved those assembly and test operations back to the United States for that period of time to serve those customers, that was probably about, I don’t know, 15% of our volume during that period of time. So, if the government came out with some kind of our owners clauses we could bring some production back if we had to. On the other hand bringing the production back there is a big difference in the labor cost between the two facilities and we would have to take that into consideration. And obviously if we did bring production back into United States like most companies we would automate, we would never do it the way we do in Mexico which is very manual. When we were producing those -- when we were doing the final assembly and test of those meters in Milwaukee that was a very highly automated process, we probably use one-tenth of the labor that we used on in Mexico. So, all of those things would have to be considered and would all depend upon what the government does, what action they take and how they treat not only imports in the United States but the fact that we’re importing components that were made in the United States and just sent down there for assembly. So how the government would treat it would be very important.
Hasan Doza: Understood. But at a very basic first, plus economics, I mean, if I look at your cost of goods sold and given now that almost 80% of new sales are municipal water meters 77% as you said. And you have this footprint in Mexico where they have to be imported back into the U.S. fully assembled et cetera. And if we just run basic math for example like you know if there’s a say, 10% to 20% import tax on goods that are coming from Mexico to be sold in the U.S. make a pretty significant close to 20 to 30% hit, potential hit at least in the short to medium terms to your earnings for company like Badger Meter who had this border adjustability issue. So for me management perspective know how are you thinking about mitigating that potential hit to earnings at least in the medium to short run, I would love to get your view because, and import tax would be very detrimental at least initially to the bottom line?
Rich Meeusen: I think you’re painting a hypothetical that would say that there would be a 20% tax on absolutely everything coming in the United States, without any consideration for what is going from the United States back in the Mexico, okay. So you're talking about a one-way 20% tax, which you’re right would be very significant. However, if the tax is on the value added in Mexico that would be a very small number and would not be as significant to us. Let's also bear in mind that even if NAFTA goes away we operated before NAFTA ever existed under the maquiladora laws which are still on the books. So the government would have to not only change NAFTA but they would also have to go back and change the maquiladora laws that that preceded NAFTA. So, that would be interesting.
Rick Johnson: And then if you really want to be on hypotheticals they've also propose that the corporate income tax rate go from 35% down to 15% which were since most of earnings are domestic that be a huge benefit to us the other way including the fact that we have deferred taxes on the books which would have to be lower to that new tax rate. So, I mean we can deal hypotheticals all day and I think that's why Rich made the comment that we don't -- we are aware of this stuff but until some details come out, you know and I’m comforted by the fact that Congress has the pass laws. This not to be an edict and this will take time. And so it is on our radar screen what to deal in all the hypotheticals is just was a point with because we are watching it, but it's hard to plan until you know what the details are.
Rich Meeusen: Bear in mind that I have competitors who also produce in Mexico, they would be subject to the same thing, so the end result could be upward pressure on pricing. There are meters that come in from China in the United States. There are meters and components and their meters and components that come in from Europe. So again if you're hypothetical is that there is an import tax from Mexico but all other imports are duty-free then that's one set of impacts. But if it's an import tax on everything coming in the United States obviously we’re all in the same boat and that would result in significant upward pressure on pricing.
Hasan Doza: Thanks for your thoughts. Appreciate it.
Operator: Thank you. [Operator Instructions] And our next question comes from Bob Chernow from RBC. Your line is open.
Bob Chernow: Gentlemen, could you sort of give us an approach and how you're handling your deb. You’ve reduced your debt here quite a bit, but it appears as if you're going to be making other acquisitions. You don't have any long-term debt. Have you considered that given the long-term know the low rates that we have today?
Rich Meeusen: Yes. And Bob, let me – before I turn it over to Rick talk about that because he is the expert on it. Let me just say that we recognize and we actually feel that debt is a problem for us as in we don't have enough. You know I think we’re down to what is are debt to capitalization.
Rick Johnson: Less than 13%.
Rich Meeusen: It’s less than 30%. Worried about a .5 debt to EBITDA, so at that level we would rather have a little more leverage on our balance sheet that would make a little more sense to us. On the other hand to borrow debt and do some sort of stock buyback we’re not comfortable taking liquidity out of the market on our stock. So we do think that making some strategic acquisitions to help get the debt back up over the next several years makes a lot of sense and we would like to try to do that. Now, I'll turn it over to Rick to speak specifically about the debt levels we have.
Rick Johnson: Well, and I did mention we generated over $55 million of cash from operations. Last year we managed to pay down the debt and even the types of acquisitions we've been talking about for this year we probably can fund those out of working capital. And so, Bob to your question is every time we do one of these deals we basically update our cash forecast looking out and even hypothetically I do some type of a $20 million deal the summer when you look out we’ll still be out of debt in two to three years. And so, if you look at what the what the daily LIBOR rate is that we pay plus a fee, all in right now my borrowing cost I believe were about 1.5% to 1.6% somewhere in that neighbourhood.
Rich Meeusen: Pre-tax.
Rick Johnson: Pretax. And so if you're talking about a term loan right now, yes, I could get a loan for 3% or 4%, but if I'm going to have it paid in a couple years it's just better to say short-term. Now if we do a deal and it says we’re going t be in debt for that three, four, five year period, the banks have already talk to us. They’re prepared term it out. They are all lined up to do it for us. It's just that you know when we decide to do it. They are ready for us and we continue to have those conversations. We also maintain regular contact with three insurance companies with the State of Wisconsin invest mode, everybody would like to help, give us money. So, I don't think once we decide to do something I don't see, I don’t see there’s a problem.
Rich Meeusen: And you know we do like most people, I hate to say this, but I want to say it again. We do think introverts will be going up doing that, but I think that I’ve contained that for so long. But we do think its just rates will be going up but right now with a 200 to 300 basis point difference between our short-term borrowing and what we could lack in long-term one, long-term being three or four years. It just doesn't make sense to do it because I don't see the interest rates coming up that fast that much. So we are much more comfortable with our low level of debt keeping it all short-term and pursuing some acquisitions if we do end up with enough acquisitions to justify terming out some debt we would do that Bob.
Bob Chernow: Thank you.
Operator: Thank you. And we do have a follow-up from Richard Eastman from Robert Baird. Your line is open.
Richard Eastman: Thank you. Thanks for me having me back. Not that you had a choice but thank you anyway.
Rich Meeusen: We do acknowledge we didn't have a choice – yeah, we didn’t have a choice.
Richard Eastman: Just could you update us Rich on the American water you know, kind of contract? I presume since we caught up on BEACON there, some of that goes to American water. But does that does that contract in a year or two does it ramp towards 20 million a year kind of run rate in revenue or does it ramp from here?
Rick Johnson: You know we did spend 2016 getting an American meters you have to remember has I used to know the number, I think it's 16 or 20 subsidiaries. So there is that there is an American meter of Ohio, there’s an American meter of Kentucky. So they've got all these different subsidiaries and they do operate with some level of autonomy. So when American meter entered into the contract with them the various managers of the subsidiaries were given the opportunity to look at our product and decide how to integrate it. The key to this thing was getting – when I say American meter I apologize, it was American water.
Richard Eastman: Yes, water. Fine.
Rick Johnson: My people are holding up signs that I misspeaking. I mean to say, Rick, American water. But the key to this thing was getting American waters primary building vendor to work with us, to integrate into BEACON. That that is been done for the most part now. We are able to go out and end and do a very smooth interface with all of these subsidiaries. We did about $5 million with American water subsidiaries with all the different American water subsidiaries last year. And that was less than what we hope to do. We thought we could be closer to maybe eight or even 10 on the upside. But it was a slow ramp-up than we thought. We do think there's good potential in 2017 to increase that, and we think we’re going to continue to see an increase as we've now gotten past these interface issues with their billing vendor, Fathom is the name of their billing vendor.
Richard Eastman: Okay.
Rick Johnson: We've got past that and we’re feeling pretty comfortable.
Richard Eastman: And then just a question, in the in the press release when you talk about in the early part of 2017 I think you, I’m just looking for the quote here. But you talk about being off to a good start. And I'm curious you have a monster comp in the first quarter of 2016? And I'm curious is a good start year-over-year or is it a good start coming out of 2016 and off the fourth quarter?
Rick Johnson: Well, I do believe the first quarter is going to be better than the fourth quarter, okay, and we do have a strong backlog and all of that looks good. The question of whether or not we’re to beat the first quarter of last year. As we said in the past and any date we have about a month or month and a half or less than a month and a half, we have about five weeks of orders in our backlog. So it's very hard for us to sit here now and even talk about March. I've got January pretty much in the bank. I can look at the backlog and say I've got a good shot at February, but March is just the total unknowns to us and it's going to depend on a lot of factors. So I don't want to sit here and say that when I see a good start I'm confident there we’re going to beat the first quarter of last year. I can't really give you that. But obviously I think the first quarter is right now shaping up to be a good first quarter.
Richard Eastman: Okay. That helps me. That helps with some guidelines there. All right. Thank you again.
Rick Johnson: Not a problem.
Operator: Thank you. And our next question comes from Brian Rafn from Morgan Dempsey Capital. Your line is open.
Ryan Hamilton: Good morning, guys. This is Ryan Hamilton in for Brian.
Rick Johnson: Hi, Ryan.
Ryan Hamilton: I’ve got a question. Often times, this time a year you often talk about the impact of snowfall and weather in some of your markets. Could you any comments on what you're seeing in that regard?
Rick Johnson: Yes. I mean this year so far we’re seeing a very normal year. There was a year while back when the snow covering the United States went way south and lasted much longer and it did have an impact on us.
Rich Meeusen: And the particular mix of customers that we had that quarter were in that area.
Rick Johnson: Correct.
Rich Meeusen: Because we've had other winters that were very snowy but our customer mix tended to skew toward the west where it wasn't as big an impact, so it is the combination. The year with that, it really impacted us. We had a lot of customers east of the Mississippi in that quarter and we had a tremendous amount of snowfall.
Rick Johnson: Right. So what I would say so far about the weather patterns and the weather impact on our sales and we just had a big meeting with all our salespeople a couple weeks ago and spoke to them. They are not seeing anything significant. It's pretty much a normal pattern. But as you know in the United States that could change at any time, we could see major blizzards, but right now things are looking pretty good. And because of that I think a lot of our competitors are placing orders because they intend to start up the [Indiscernible] thank you guys. Our customers are starting to place orders because they are seeing that they're anticipating a normal startup to their meter replacement programs and therefore they're getting the product in. So we are not seeing a negative impact there.
Ryan Hamilton: Right. I remember that quarter from the past, I remember which one you’re talking about. I guess one last thing and the rest of my questions have been answered, could you kind of just refresh on your hedging strategies?
Rick Johnson: This is Rick. We really don't have hedging strategies per say other than the most natural hedges when your prices are going up you try and pass them on to the customer. The reality is if I wanted to -- if copper came down suddenly and I wanted to lock in prices or cut more importantly a customer said, I'd like to lock in prices. We’d ask that customer for firm delivery dates. And there's not a municipal customer we have that is willing to give us firm delivery dates. Hence hedges are really not possible in the business because generally out you get to pick a date. But what happens is the power in this industry really lies with the competitors. We all use the same components. We always say its like jet fuel in the airline industry and we all use it, so when these graph costs go up, okay, we’ll see it in the form of competition from our competitors.
Rich Meeusen: And let me also say that again I’m just going to back to someone we’ve talked about in the past, for those who aren’t familiar with it. We cannot enter into a hedge that the accounting profession would give us hedge accounting treatment for. And the reason is because we can’t get a perfect hedge or even close to a perfect hedge. We don’t buy copper, we buy brass and we don’t even buy the raw materials of brass, our brass is made out of a scrap. And so we are really out in the scrap market buying scrap brass and I mean literally candle sticks and old car radiators and church bells and all of those things are being melted down to make our water meters. So in that light, copper simply becomes a surrogate for what direction brass scrap might go. And it does, there is a good correlation there. There’s a strong correlation, but there is about a 90% correlation, but it’s not strong enough for the accounting profession to allow us to use hedge accounting. So if we were to enter into a hedge, we would have to mark that the market every month and that would cause even more volatility.
Ryan Hamilton: Good discussion. Thanks guys.
Rich Meeusen: Great. Thank you.
Operator: Thank you. And I’m showing no further questions from our phone lines. I would now like to turn the conference back over to Rich Meeusen for any closing remarks. Well I want to thank you for spending the time with us today. Again, when we look out at 2017, Badger is extremely well situated with our leading edge products and so we feel good about what those can do. And the market is strong; we don’t see a major change in the market. Obviously we have some uncertainties with what the government is going to do, but I think every company faces those uncertainties, and we will deal with them as they come along. But those could be good for us, those could be bad for us, and we’ll figure out how to deal with them. But overall, we felt 2016 being a record year on so many levels was just great. We are very proud of our team here, and we know we are very confident about what we can do in 2017 and continue to see positive results for the business. So with that, I'll thank you for joining us.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may now disconnect. Everyone have a wonderful day.